Operator: Good morning, and welcome to JBT Corporation's Fourth Quarter and Full-Year 2022 Earnings Conference Call. My name is Chris, and I'll be your conference operator today. As a reminder, today's call is being recorded. [Operator Instructions] After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions] I'll now turn the call over to JBT's Vice President of Corporate Development and Investor Relations, Kedric Meredith to begin today's conference.
Kedric Meredith: Thank you, Chris. Good morning, everyone, and welcome to our fourth quarter and year-end 2022 conference call. With me on the call is our Chief Executive Officer, Brian Deck and Chief Financial Officer, Matt Meister. In today's call, we will use forward-looking statements that are subject to the safe harbor language in today's press release and 8-K filing. JBT's periodic SEC filings also contain information regarding risk factors that may have an impact on our results. These documents are available in the Investor Relations section of our website. Also, our discussion today includes references to certain non-GAAP measures. A reconciliation of these measures to the most comparable GAAP measure can be found in the Investor Relations section of our website. Now I'll turn the call over to Brian.
Brian Deck: Thanks, Kedric, and good morning, everyone. JBT captured double-digit growth on the top and bottom line for 2022, notwithstanding the much-discussed challenges associated with rapid inflation and supply chain disruptions. In each quarter, we realized sequential margin improvement at both FoodTech and AeroTech. And we ended the year on a strong note, especially as it relates to profitability and orders at FoodTech. While there remains a level of caution among our food customers, it is clear they need to invest in capacity, automation, optimization of yield and uptime and sustainability. During 2022, we completed two strategic acquisitions. As I'll talk about later, they are highly complementary to our FoodTech solutions and are quickly adding value. At AeroTech, margin improvement continued to progress, albeit at a slower pace than originally planned. At the same time, the demand side remains robust, positioning the business for a great 2023. As demonstrated by our 2022 performance, JBT enjoys a highly resilient model. Nearly half of FoodTech represents recurring revenue from parts and aftermarket services. The food and beverage end markets enjoy a higher level of stability throughout the business cycle. And moreover, JBT's highly diverse product line and broad participation across end markets enhances the stability of our business. With that, I'll turn the call over to Matt to provide details about the year. We'll also present our initial guidance for 2023, another year in which we expect further growth and margin expansion.
Matt Meister: Thanks, Brian. JBT delivered solid double-digit revenue and earnings growth in 2022. Total revenue increased 16% and adjusted EBITDA grew 11% year-over-year. Earnings per share and adjusted earnings per share increased 10% and 18%, respectively. In FoodTech, 2022 revenue increased 14% with growth of 12% organic and 7% from acquisitions, partially offset by a 5% negative foreign exchange impact. For the year, FoodTech generated adjusted EBITDA of $290 million with margins of 18.2%. FoodTech margins improved each quarter sequentially, adjusted EBITDA margins of 19.7% in the fourth quarter as we continue to close the gap on price cost and benefit from higher volume. In AeroTech, 2022 revenues increased 23%. Full-year adjusted EBITDA margins were 8.4% and 10.3% in Q4, continuing their sequential margin recovery. And as I'll discuss in the guidance, we expect that momentum to continue into 2023. With that, we posted earnings per share of $4.07, compared with $3.59 in 2021. 2022 results included a $0.25 per share negative impact from foreign exchange translation, offset by $0.26 per share of discrete tax benefits. Adjusted EPS, which excludes LIFO expense, M&A and restructuring costs, was $4.77, compared with $4.04 in the prior year. During the year, we took restructuring charges of $7 million, including $4.2 million in the fourth quarter as we implemented additional actions to reduce our cost structure in Europe. In 2023, we expect to incur another $3 million to $4 million of charges and anticipate the total impact of these actions to generate run rate cost savings of approximately $9 million to $12 million in 2024. Free cash flow was $59 million for the year, represented a conversion rate of 45%. As we've discussed in 2022, we invested in our digital strategy, increasing capital expenditure investment by approximately $40 million. Additionally, the change in the U.S. tax law that require the capitalization of R&D costs resulted in an acceleration of cash tax payments of approximately $25 million. Finally, we are carrying a higher-than-normal level of inventory and as the supply chain situation improves and vendors catch up with demand, we expect better inventory turns in 2023. We are pleased, however, with the progress we made on net debt leverage, achieving our target of 3 times by year-end 2022, down from 3.4 times at the end of the third quarter. This demonstrates our ability to deploy capital and delever quickly to our target leverage ratio of 2 times to 3 times adjusted EBITDA. Moving to 2023. We anticipate full-year total JBT revenue growth of 6% to 10%. That's comprised of 5% to 9% growth in FoodTech, including 1% to 4% organic and 10% to 13% growth in AeroTech. We expect FoodTech's adjusted EBITDA margins to be within the range of 18.5% to 19.5% which includes OmniBlu expense associated with the launch and ongoing customer support efforts. These expenses should be largely offset by anticipated OmniBlu revenue. All this considered, that represents an adjusted EBITDA range of $310 million to $335 million from FoodTech in 2023, a year-over-year increase of 11% at the midpoint. In AeroTech, we expect significant improvement in profitability with adjusted EBITDA margins of 12% to 12.5%. We are forecasting corporate expense of roughly 2.7% of revenue excluding any LIFO, M&A and restructuring expense. Included in corporate expense, although at a much lower amount than last year, will be ongoing development costs related to OmniBlu as we expand to additional product lines. Interest expense is forecasted to be between $26 million to $27 million, and we are projecting an annual tax rate of 22% to 23%. That gets us to projected 2023 earnings per share of $4.50 to $5 and adjusted EPS of $5 to $5.50. We are forecasting adjusted EBITDA of $330 million to $350 million, which represents a year-over-year gain of 21% at the midpoint. We expect free cash flow to return to more historical performance levels with a conversion rate of greater than 100% for the full-year. Regarding the first quarter, which is typically our slowest, we anticipate year-over-year revenue growth of 7% to 10%. This is comprised of 4% to 7% growth at FoodTech and 15% to 20% at AeroTech. We anticipate FoodTech adjusted EBITDA margins of 16.5% to 17% and AeroTech margins of 10% to 11%. The corporate expense of 3.2% of sales, excluding any LIFO M&A and restructuring charges, as well as interest expense of $7 million to $7.5 million, we are projecting GAAP earnings per share of $0.50 to $0.60 and adjusted EPS of $0.65 to $0.75. With that, let me turn the call back to Brian.
Brian Deck: Thanks, Matt. As I stated at the top of the call, we were encouraged by the pace of fourth quarter orders. FoodTech orders of $432 million were up 24% sequentially, exceeding our expectations with improvements in Europe and Asia. And despite price weakness and pressure affecting our customers in the poultry industry, we also experienced some order improvement in North America as a result of JBT's highly diverse product portfolio. That is -- JBT had a nice wins in the period in the pet food, food and vegetable, infant formula and pharmaceutical end markets. While the backdrop of economic uncertainty, including higher interest rates and operating costs, may impact the pace of customers' investment decision-making, we remain pleased with our robust pipeline and high level of customer engagement. We recently attended the International Production and Processing Expo, otherwise known as IPPE, the largest event for the poultry and meat industry in the U.S. It is good to see some of you there. We introduced several new products at the show, including a lower cost, more compact DSI portioner, this product, which leverages JBT's strong DSI franchise, addresses the needs of smaller food processors with a highly effective compact plug-and-play waterjet cutting system. We also introduced a chicken breast deboning solution that specifically targets what is known as a large bird market. This is a gap in the market today where our existing automation solutions underperformed on yield relative to manual labor. Our solution known as Yield King, addresses this challenge and as a result, is generating a lot of interest in the market. We also featured our digital solution OmniBlu. Since our last call, we have signed many additional contracts on our first wave of product introductions. OmniBlu represents a new way of doing business for our customers with a digitally-enabled solution that optimizes machine performance and maintenance management, provides frictionless parts and service and enhances uptime capacity utilization, yield and quality. We are encouraged by customers' response to OmniBlu as they realize its tangible and measurable benefits. We expect our investment in OmniBlu to generate long-term advantages for JBT as we continue to commercialize over the next few years. Its revenue stream from subscription fees and incremental aftermarket revenue will expand our growing revenue -- recurring revenue base. More importantly, our digital connection further solidifies our partnership with customers. Regarding the deployment of capital, we are pleased with the value we have already captured from the acquisitions of Alco and BevCorp. Specifically, we are generating supply chain synergies with the core of JBT. And we are enjoying commercial synergies such as a new full-line vegetable processing solution, which combines capabilities from our Alco, Edison and Frigoscandia brands. At AeroTech, fourth quarter orders picked up as expected with a 42% sequential gain and continued strong demand from the infrastructure and commercial airline markets. AeroTech's record year-end backlog and the expectations of further order strength in the first quarter positions the business for a great to 2023. Regarding our intent to become a pure-play food and banker solutions company, as you know, we've been exploring a range of options for AeroTech with the goal of identifying the best value creation for shareholders. While we are keeping a range of options on the table and an eye on the debt markets, our current view is that a separation is more likely to be realized through a sale of AeroTech. We remain on track to announce a defined path in the first half of 2023, with transaction execution targeted for the back half. Before I open the call to questions, I'd like to talk about JBT's corporate responsibility and sustainability initiatives, issues that are at the core of our cultural DNA. We view JBT's responsibility and sustainability framework through the lens of customer solutions, responsible operations and people and communities. Last quarter, we outlined the many ways we had customers on their sustainability journey. From an environmentally friendly packaging solutions and lower emission technologies to systems that combat through waste and lower energy and water consumption and helping our customers reduce waste to more efficiently use precious resources, we are also enhancing our value proposition and competitive strength. At the same time, we are taking steps to reduce the environmental impact of our planted office operations around the world and are embedding these efforts into our continuous improvement program. For example, we're collecting, analyzing and auditing global utility usage to track cost and consumption for the entire enterprise to give us a platform for developing and reporting against emission reduction targets. In terms of people and communities, we promoted employee volunteerism, charitable contribution and enhanced matching programs and engagement initiatives around the world. Most importantly, we have maintained an unwavering commitment to all employees to create a safe, engaging and inclusive workplace. On that note, I'd like to thank everyone at JBT. They are the reason for our growth and success. With that, let's take your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question is from Walt Liptak with Seaport Research. Your line is open.
Walt Liptak: Thanks. Good morning, guys.
Brian Deck: Good morning.
Walt Liptak: Thanks for the clarification about AeroTech and the timing. I just wanted to make sure I understood it that it sounds like it's a sale is more likely? Is that an all-in-one transaction? And I think you said that the timing might be in the second half. So does that mean an announcement in the first half and closing the deal in the second half or something different?
Brian Deck: Essentially, yes. It's more likely it's going to be a sale. And of course, ideally, it would be in full, right? That would be -- we think that the platform value of AeroTech is more than the sum of its parts. Therefore, we do feel that that's certainly the better path. And in terms of timing, you essentially have it. We'll provide more detail here in the second quarter -- in the second quarter and then thereafter, look to execute and transact in the back half.
Walt Liptak: Okay. All right. Great. Thanks for the clarification. And I wonder if you could just provide a little bit more detail about what you're seeing from the poultry market. And primarily, it looks like the CapEx plans are still on track. But just what you're seeing, is there a delay that's happening or is it just a timing issue?
Brian Deck: Yes. As you've seen probably from the poultry industry, it's a bit of a challenging time right now in terms of profitability. We are heavily engaged with them. So orders were a little bit lower in the fourth quarter from them, but we were able to offset that with our diverse product offering. So that was good news. But what we do hear from them is that the need for automation, sustainability, productivity and even volume remains high on their list and the pipeline remains quite strong with them. So -- and as you stated, their overall intentions on CapEx remains solid. So we do expect that to start converting here as we enter the spring.
Walt Liptak: Okay, great. Thank you.
Brian Deck: Thank you.
Operator: The next question is from John Joyner with BMO Capital Markets.
Unidentified Participant: Hi, there, guys. Thank you for taking my questions. Hi there, it’s [Indiscernible] on for John Joyner. Thank you for taking my question.
Brian Deck: Thank you.
Unidentified Participant: So my question primarily relates to the FoodTech and of the line solutions which kind of seems like a large market opportunity for growth for JBT. Can you talk about some of the white space here and maybe areas that JBT can fill out through its capabilities. Thank you.
Brian Deck: Yes, absolutely. The end of line is indeed a very large opportunity. As you know, we invested in 2019 in our Proseal acquisition as well as our ACS, Auto Coating Solutions on that side as well. When you think about packaging in general, everything ends up being packaged, right, in more way, shape or form, whether it's going to retail or if it's going to food service. So it is a very large market. We do -- it is a meaningful part of our M&A strategy as we go forward from here. So we do look forward as we continue to deploy capital as part of our strategic plan that we introduced in 2022 as we look to meet our 2025 targets. That is a nice space to be in.
Unidentified Participant: That’s great. Thank you for that color.
Brian Deck: Thank you.
Operator: The next question is from Lawrence De Maria with William Blair. Your line is open.
Lawrence De Maria: Hey, thanks. Good morning. Two questions. First question, obviously, 1Q is looking a little lighter than expected, which implies another big ramp throughout the year. Can you maybe just help us understand first half, second half split? Or maybe a little bit more around just some of the modeling to help us understand how big of a ramp we should expect into -- throughout the year of stocking stick?
Matt Meister: Sure, Larry. I think the first quarter, as you noted, is certainly a little bit lighter primarily because sort of seasonality that typically happens at JBT. As well as we had, as you can recall, a little lighter order volume in Q3 that impacted backlog for the first quarter. But certainly, I think our backlog as we enter into the year is actually pretty healthy for the remainder of the year. And we have visibility between backlog for the year, as well as our very dependable recurring revenue streams to between 70% to 75% of the revenue for 2023. So I think we feel pretty confident in the back half -- in the middle part in the back half of the year. Certainly, there's some book-to-bill we have to get but the margins will continue to improve sequentially as we go through the year and benefit not only from the higher volume, but also just continued productivity in the FoodTech business.
Lawrence De Maria: Okay. And then moving over to the AeroTech. I mean, can you give us any kind of color on initial thoughts on multiples, price talk? And what would post sale corporate look like?
Brian Deck: Sure. In terms of multiples, Larry, we're going to let the market speak as to what the value is of that. Certainly, again, as I mentioned, it is an attractive asset as a whole. It's a platform business. So I think in terms of both -- it's going to generate interest from both strategic of -- strategic interest as well as the financial buyer space. So again, we're going to let the market speak for that. In terms of the corporate overhang, there is -- essentially, we allocate quite a bit of our corporate expenses as of today. The percent of sales will go up a little bit when it comes to FoodTech, but because AeroTech has lower margins as a whole ex AeroTech, the margins actually increase.
Lawrence De Maria: Okay, thank you.
Operator: [Operator Instructions] And it appears that we have no further questions. I'll turn it over to Brian Deck for any closing remarks.
Brian Deck: Great. Thank you. Yes. We understand it's a busy period for earnings announcement. So Kedric and Marley are available for the rest of the day or for the week to take questions. Thanks very much, everybody. Appreciate it.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.